Operator: (Operator Instructions) Welcome to today’s SunTrust Third Quarter Earnings Conference Call. I would now like introduce Mr. Steve Shriner, Director of Investor Relations.
Steve Shriner: Welcome to SunTrust’s Third Quarter 2008 Earnings Conference call. Thanks for joining us. In addition to the press release, we’ve also provided a presentation that covers the topics we plan to address during our call today. Slide two outlines the contents which include updates on capital and liquidity, an overview of our financial results and an in depth credit review. Press release, presentation, and detailed financial schedules are available on our website www.SunTrust.com. Information can be accessed directly today by using the quick link on the SunTrust homepage entitled Third Quarter Earnings Release, or by going to the Investor Relations section of the website. With me today, among other members of our executive management team are Jim Wells, our CEO, Mark Chancy, our CFO and Tom Freeman, our Chief Risk and Credit Officer. Jim will start the call with today’s highlights and a review of capital. Mark will then discuss financial performance and Tom will conclude with an in depth review of asset quality. At the conclusion of the formal remarks well open the session for questions. Before we get started I need to remind you our comments today may include forward looking statements. These statements are subject to risks and uncertainty and actual results could differ materially. We list the factors that might cause actual results to differ materially in our press release and SEC filings, which are available on our website. Further, we do not intend to update any forward looking statements to reflect circumstances or events that occur after the date forward looking statements are made and we disclaim any responsibility to do so. During the call, we will discuss non-GAAP financial measures in talking about the company’s performance. You can find the reconciliation of these measures to GAAP financial measures in our press release and on our website. Finally, SunTrust is not responsible for and does not edit nor guarantee the accuracy of our earnings teleconference transcripts provided by third parties. The only authorized live and archived webcasts are located on our website. With that, let me turn it over to Jim.
Jim Wells: There are a few items I’d like to review with you this morning and they’re attached on slide three of the presentation. This morning we reported earnings per share of $0.88 for the third quarter which maintained our track record of profitability. There were a number of non-core items with both positive and negative impacts during the quarter and Mark Chancy will guide you through the financials in a moment so I’ll only comment briefly. Looking past the non-core puts and takes revenue generation was stable. Our balance sheet, restructuring and deposit initiatives helped mitigate a consumer shift to higher cost deposits and the increased impact of non-performing assets on net interest income. Core non-interest income growth is positive despite a difficult environment in the mortgage and trust businesses. While I cannot tell you I am satisfied with our revenue performance it is gratifying to know that our efforts to grow and diversify this franchise are paying off especially given this most difficult environment. Our E² efficiency and productivity program is yielding significant expense savings and we’re pleased with how well managed core expenses have been excluding the non-interest expenses associated with credit. That said I do have to tell you that expense growth was too high even after adjusting for non-core items. The problem is non-interest costs inherent in the credit cycle. Particularly the abhorrently high cost at mortgage application fraud is inflicting on the industry and SunTrust. Moving on to some credit matters, net charge offs increased to 1.24% of loans while NPAs increased 24% to $3.7 billion in the quarter. Both of these outcomes were at the high end of the ranges we had anticipated. On the other hand our early stage delinquencies remain stable in the 1.5% range again this quarter. Additionally, the forward view of loss content in the existing portfolio increased less than in the past few quarters. The reserve growth of $112 million was lower than prior quarters and raised the loss reserve by eight basis points to 154 basis points. The bottom line is that asset quality has continued to deteriorate, while early stage delinquency has not increased significantly during the course of the year non-performing loans and charge offs have. The result of these trends in emerging economic information is that we expect losses will remain at cyclically higher levels for some period of time likely well into 2009. Of course the unknown in all of this is the fundamental health of the economy. The current operating environment is the most challenging I have experienced. The most recent economic data, liquidity challenges, and the informed commentary from Secretary Paulson and Chairman Bernanke all suggest essentially the down side risk could be significant. Ultimately the banks revenue generation, asset quality, and earnings depend on the economy. SunTrust while core third quarter results show that we are clearly profitable our earnings power is being impacted by the slower economic environment and it appears as though this pressure is unlikely to abate for at least the next quarter or two. On the topic of capital I am pleased to report significantly higher regulatory capital ratios at the end of the third quarter. Turning to slide four in the presentation you’ll note that the Tier 1 Capital Ratio is estimated to be a healthy 8.15% up 68 basis points from the second quarter level of 7.47%. The increase is primarily related to the completion of the Coke transactions during the third quarter. The Tier One Ratio however also benefited from a reduction in risk weighted assets. The reduction in risk weighted assets occurred in part due to an ongoing effort to reduce illiquid trading securities, construction related loans and commitments and more generally to ensure than unused commitments are reduced and/or higher fees assessed. Other Capital Ratios increased during the quarter as well. Our total Capital Ratio exceeded 11%. Equity Assets was 10.3% and Tangible Equity to Tangible Assets was 6.4% which is one of the higher tangible ratios among large banks. Based on the results of actions taken during the last two quarters and our credit outlook today we believe that we are appropriately capitalized. We said during our earnings call last quarter that while we didn’t think we needed significant additional capital we would continue to evaluate the capital markets to determine if regulatory capital could be raised in a cost effective manner. The public markets were not conducive to raising capital during the majority of the third quarter and so we did not access the market. As you all know the Treasury announced it will be making direct investments in selected institutions in the form of preferred securities. Given the progress we’ve made in increasing regulatory capital we are in a position of strength and do not have a deep need for this capital. However, given the level of economic uncertainty it may be prudent to pursue this option particularly since the preferred stock is attractively priced. Furthermore, additional capital could better position us to take advantage of growth opportunities that I’m sure will be available. As we enter 2009 we are evaluating our capital structure including our current regulatory intangible capital levels and the potential issuance of preferred securities under the TARP program. Our Board of Directors authorized an application to sell preferred stock to the US Treasury under that program and the potential range for SunTrust under the program is between $1.6 billion to $4.9 billion. On a related note, last quarter we also talked about SunTrust dividend policy. We told you that we recognized that the payout ratio is high relative to our current earnings, that we viewed the current earnings pressures as shorter term and our dividend policy as longer term in nature and that we would be monitoring all of these subjects closely. Core earnings were soft during the third quarter relative to our dividend and as I mentioned a moment ago the current outlook for the economy has deteriorated significantly in the past 30 to 45 days. We expect additional decisions related to our overall capital structure and dividend policy will be resolved in communicated properly. Before turning it over to Mark I’ll conclude by saying that we remain committed to existing business strategies, dedicated to executing initiatives related to deposits, expenses and managing risk and focused on creating shareholder value. I would also add that in doing these things we believe we are taking the steps necessary not only to continue to navigate successfully through the industry challenges that have been talked about on all calls like this over the past week or two but also to permit us to take advantage of opportunities that may present themselves in the current environment to grow our business, add to our client base and position ourselves for post cycle growth. I realize that with the potential impact of still volatile markets, economic weakness and related credit pressures hanging over our heads in the near term along with the prospect for fundamental changes in the relationship between our industry and our rule maker’s longer term. To talk about opportunity just now seems a bit in congress, however we are convinced there are opportunities out there for SunTrust. Let me be very clear that managing responsibly through this crisis, controlling what we can control is our most immediate priority. We are monitoring market conditions on an hour by hour basis to make certain that we are doing everything we can to reduce our vulnerability to economic and market dislocations. That does not mean we cannot and should not also be looking beyond the current turmoil to the market stabilization and ultimate resumption of economic growth that history tells us will be forthcoming. When it does we want to be ready. Our intent and expectation based on all that we see today is that when the clouds clear SunTrust will be in a strong competitive and financial position. In large measure, that’s because of the great job being done every day by our employees and management team, many of whom are listening to this call. Despite the onslaught of negative news our people are out there in the marketplace serving clients, attracting new ones, running our businesses more efficiently and doing all the things that make it possible for us to look beyond current pressures with a reasoned and realistic sense of confidence. I’d like to turn it over to Mark.
Mark Chancy: I’ll begin my comments today on slide five of the earnings presentation with a brief discussion of our funding profile and our liquidity position. Our funding strategy remains primarily centered on stable deposits which fund 91% of loans. As a result of the balance sheet restructuring in the first half of last year which resulted in a de-leveraging of the balance sheet by approximately $9 billion SunTrust has reduced its brokered and foreign deposit levels significantly. At quarter end deposits from consumer and commercial clients comprised 88% of total deposits while only 12% were brokered or foreign. An additional benefit of the 2007 balance sheet restructuring was that SunTrust entered the market turmoil in the second half of last year in a very strong liquidity position which remains today. The average daily overnight borrowing position is down significantly coincident with a 25% decrease in the brokered and foreign deposits. The long term senior debt of the institution is also well laddered. A holding company note maturity of $350 million occurred earlier in October and the next holding company maturity does not occur until October of ’09. A final example of SunTrust’s strong liquidity position is that contingent liquidity from the Federal Reserve, the Home Loan Bank and free securities that could be sold if necessary all of those exceed $28 billion currently. Before I move on I’ll comment on a couple of other areas that may be of interest. Generally speaking the short term debt markets have been highly volatile over the past few weeks as you know. We have been fortunate however, that our three pillars asset backed Commercial Paper conduit has been able to fund on behalf of our commercial clients daily despite this liquidity crunch. Maturities have shortened as buying interest has largely been confined to overnight paper. Additionally, variable rate demand note re-marketing has been functioning relatively well. While rates have been volatile our inventory position has increased only nominally. We monitor these programs daily and have been pleased with the market receptivity of these SunTrust programs. Moving to slide six and a summary of our financial results, as Jim mentioned SunTrust earned $307 million in net income or $0.88 per share in the third quarter. There were a lot of non-core items however affecting the results which I will cover a little later in the call. One item though that I want to cover now is related to provision for taxes which was actually a benefit this quarter despite the positive pre-tax income. The reason and the primary driver was $68.5 million of reversal of a deferred tax liability associated with the contribution of 3.6 million shares of the Coca-Cola common stock to our charitable foundation which we outlined for you during our second quarter earnings call. I’ll cover other items affecting our overall results in a minute. Let’s move to slide seven and the balance sheet. Overall average loan balances excluding non-accruals remained flat during the third quarter. Although particular targeted areas such as commercial and consumer direct exhibited good growth. Home equity lines grew as well but that is more a result of very low attrition against normal draw volume. Declines continued in areas where we are intentionally shrinking the portfolio namely specific areas of mortgage, construction, and indirect auto. On the deposit front average deposits in the quarter declined from the second quarter level primarily driven by lower CDs and DDA resulting from increased deposit competition and a general strain on consumer and commercial liquidity. Largely offsetting the decline in these products was an increase in money market accounts. This growth was influenced by sales strategies in which money market products were used a lead product to help us retain a greater portion of maturing CDs and other client balances. I’ll spend a moment discussing deposit flows as I think it is interesting how the quarter unfolded. In July and August the trend was similar to what I just outlined. Balances trended down mostly in CDs and DDAs while money market balances increased. This trend reversed significantly in late September coincident with increased media coverage of credit and liquidity conditions impacting some other organizations. From a low of just of $100 billion at the end of August core customer deposits increased by $1.8 billion to end September at $101.8 billion. That incremental growth was spread across most products. Since then balances have continued to grow though the rate of growth has tapered off in the last week or so as Government actions appear to be calming nervous depositors. I’ll now take a moment to cover the margin on slide eight. Margin declined this quarter relative to both last quarter and last year. Industry factors including competition for CDs that I just mentioned played a role in not meeting our expectations for a stable to increasing margin however there were a number of items that we simply did not anticipate that drove margin down this quarter. One of those relates to the significant spike in LIBOR that occurred during September. That sharp increase had a negative impact due to the fact that our loans based on LIBOR typically re-price early in the month while our LIBOR based liabilities re-price throughout the month. Additionally, the accrued interest reversal on new non-performing loans was slightly larger than we anticipated as the mix of new NPLs shifted to construction and commercial. Furthermore, two additional events occurred late in the month that negatively impacted margin. First, we were notified at the end of September that the Atlanta Federal Home Loan Bank had decided to lower its dividend. Second, based on recent court resolutions with other industry participants we made a decision to modestly increase our reserves associated with the very few leveraged leases or LILOs that we have on our books. Clearly margin has been difficult to predict given the volatility in interest rates and competitive positioning for deposits. We currently believe that margin is stabilized and has more up side opportunity than down side and you’ll see on the slide that we’ve provided a list of foreseeable key risks as well as opportunities for growth in the margin as we look forward. Moving to slide nine, Tom’s going to cover credit in great detail in just a minute so I’ll be brief here. Net charge-offs increased to $392 million or 1.24% of loans which was in line with the high end of our expectations, $112 million of provision was recorded in excess of net charge-offs and this excess provision increase the allowance ratio to 1.54%. In addition, while I just noted that average loans did not increase during the quarter we did experience strong commercial loan growth late in the period which required reserving. This growth was largely driven by the disruption in the short term corporate funding markets resulting in certain commercial and large corporate clients turning to bank lines for funding. Modest growth also occurred but it slowed during early October. Moving to slide 10 let me talk about non-interest income for a minute. Reported non-interest income growth was 57% however there were a number of non-core items that impacted the quarter and after adjusting for these items the growth was approximately 2%. Several components of non-interest income generated solid growth including services charges on deposits, investment banking income, card fees, and mortgage servicing. However, this growth was largely offset by decreases in trust and investment management as well as mortgage production income. You’ll note that mortgage production is up on a reported basis however after adjusting the third quarter of 2007 for certain write downs that occurred last year 2008 mortgage production income is lower due primarily to a 36% reduction in originations. Notable non-core items this quarter included a significant widening of spreads on our publicly traded debt carried at fair value which resulted in income of $341 million. As I’ll discuss in detail in a minute the third quarter also included $173 million of expected losses related to auction rate securities and $137 million in mark to market losses on illiquid trading securities and loan warehouses. The last item that I’ll mention is the gain on sale of $82 million which was generated from the sale of our fuel card business which we had previously announced, that company was called Transplatinum. Let’s move over to slide 11 and talk about the acquired securities portfolio which we have been aggressively managing down over the past several quarters. We have decreased our exposure to these securities by 90% compared to the original value including a 55% reduction during the third quarter. Over $355 million of securities were sold in the third quarter and the balance at quarter end was less than $350 million in total. Approximately $13 million in mark to market losses were recorded during the third quarter on these securities as we believe that we have taken the bulk of anticipated losses on these assets already. I’ll note that we carefully consider market pricing and sell the assets when it is reasonable as compared to our view on intrinsic value and our carrying value. We do expect the rate of portfolio reductions to slow going forward particularly given the relative complexity of the SIV securities and the uncertain timing regarding their restructuring efforts. However, we do expect this portfolio to be below $300 million by the end of the year which will be substantial accomplishment relative to our starting position at the beginning of 2008. Offsetting some of our progress in this area are certain illiquid securities purchased during the third quarter along with those that we expect to purchase during the fourth quarter and I’ll cover those next on slide 12. In total during the third quarter we recorded $236 million in write downs on the following securities. We purchased a $70 million note issued by Lehman Brothers and we purchased it from one of our Ridgeworth Money Market Mutual Funds and recognized a $64 million loss on this note. In addition, we previously announced an anticipated settlement regarding SunTrust’s sale of Auction Rate Securities to selected clients. While we have an agreement in principle it is not yet final and as such we have not repurchased many of the securities. However, we did record $173 million charge in the third quarter reflecting our best estimate of what the fair value write downs and fines will be upon purchase in future periods. The agreement covers clients who purchased just under $500 million in par valued securities and the charge related to these securities was $85 million. We also plan to voluntarily offer to purchase from certain additional client’s auction rate securities totaling $265 million at par with an anticipated additional write down of $88 million. The total mark down on these securities of roughly 23% of par is appropriate in our opinion given that roughly $100 million of the securities relates to auction rate securities where the underlying notes are senior tranches of small bank trust preferred securities that have little to no liquidity in today’s market. The underlying assets of the remaining $625 million are municipal and student related securities. Let me end my part of this mornings call now with a discussion of non-interest expense on slide 13. On a reported basis non-interest expense increase 29% when compared with the third quarter ’07. However, when you adjust for non-core items which include $183 million charitable expense in connection with the Coke stock contribution and a $20 million increase in our Visa litigation reserve expenses grew 11% over last quarter and 16% over the same quarter last year. This expense increase is entirely due to credit related expenses. If you look at expenses without considering those related to credit you can see that there was virtually no growth over last quarter or even over the same quarter last year. However, these credit related costs continue to increase. As expected we recorded another $48 million in reserves for expected losses related to our Twin Rivers mortgage re-insurance company. However, mortgage application fraud is the real story. The run rate cost of fraud losses effectively doubled versus last year and last quarter. Further we established a $40 million reserve during the quarter for expected future fraud related losses. Moving to slide 14 I’ll reiterate though that core expenses excluding credit related costs have been very well managed and we show no growth when you look at expenses this way. It’s important to note that these numbers still include the personnel and related expenses associated with hundreds of newly hired people currently required for default management. What I’m getting at is that expenses would be shrinking if not for the credit cycle. While we don’t think the cycle will change in the near term we have created a much leaner and more efficient organization that is difficult to recognize given the layers of credit related expenses we’re experiencing in the current environment. Third quarter gross savings related to our efficiency and productivity initiatives reached $149 million and we expect full year 2008 savings to approximate $540 million as we don’t anticipate an additional increase in the run rate during the fourth quarter. Looking to 2009 we are on track and committed to delivering our goal of $600 million in gross savings. As you know we’ve been at this for some time and we couldn’t be more pleased with what we’ve been able to achieve. It’s paramount to run an efficient organization and during difficult economic times it is particularly important. We have seen a major cultural shift in our organization around efficiency and productivity and is certainly serving us well given the operating environment. Now with that let me turn it over to Tom Freeman.
Tom Freeman: This morning I’m going to provide a review of our credit situation beginning with an overview of the portfolio metrics on slide 15 of the presentation. The overall credit picture is a deterioration in the third quarter continued at a pace consistent with our expectations and market conditions. Net charge offs increase to $392 million or 124 basis points annualized. The increase in net charge-offs this quarter equates to just over 20% which is at the high end of the outlook we provided in July and consistent with the expectations in early September. You will recall that our second quarter charge offs came in at the low end of our expectations. Provision expense increased in the quarter to $504 million up from $448 million. The allowance ended the quarter at $1.9 billion or 154 bass points of loans outstanding. This is an increase of $112 million and an eight basis point increase in reserve ratio. The rate of growth in the allowance is lower than in prior quarters. Non-performing assets increased $717 million during the quarter to $3.7 billion. NPAs increased at a faster pace in the third quarter compared to the second quarter. The rate of growth in construction and commercial NPAs increased during the quarter in contrast to a slower growth rate in residential mortgage and home equity lines of credit. The growth in NPAs is due in part to time it takes to get through the foreclosure process particularly in judicial jurisdictions. Judicial foreclosure states have slowed the process and it can take from six months to well over a year to complete the foreclosure process. Our capacity to dispose of the assets once they are owned is satisfactory and well within our pricing expectations. We remain comfortable with our allowance relative to non-performers in part due to significant charge offs we have already recognized on the real estate secured NPLs and our specific reserve process. If you exclude only the residential mortgage NPLs that have been through the write down process disclosed on slide 19 the ALLL to NPL ratio would exceed 80%. Additionally, as construction and commercial NPLs increase its important to remember that specific reserves are held against NPLs that have balances of $2 million or more. While these charge offs have not yet occurred pending resolution or renegotiation we do hold specific reserves against all the impaired loans in excess of $2 million which reduces the carrying value of these loans to our current view of net realizable value. Finally, we have noted the flat trend in early stage delinquency in each of our presentations this year. The pattern continued in the third quarter. Overall 30 to 89 day delinquency was 152 basis points which is up a few basis points from last quarter but basically at the same level since the end of last year. Next I’ll provide an overview of product performance on slide 16. The commercial and commercial real estate portfolios comprise 43% of our portfolio and are performing reasonably well overall. Within this combined $54 billion commercial portfolio is $5.5 billion of loans to small business clients. Third quarter charge offs from this portfolio segment which is 10% of the overall commercial book amounted to almost 50% of total charge offs in these categories. However, the charge off ratio in the small business segment was a respectable 1.6%. Additionally the growth in C&I charge offs is not indicative of any significant broadening of credit issues within our commercial client base. Outside of those entities directly tied to construction or highly cyclical businesses. The product category commercial real estate is our non-residential commercial real estate book. That includes both owner occupied and income producing collateral with roughly two thirds being owner occupied properties. Performance in this pool is holding up well. The consumer portfolio which includes direct, indirect and student loans is also performing reasonably well given the current environment. The portfolio with the most elevated credit metrics are the real estate product categories at the bottom of the slide. I’ll cover each of these in more detail in a minute and you will see the credit issues are concentrated in certain sub-segments of these portfolios. If you turn to slide 17 in the deck I’ll provide a view of non-accrual loans, composition and trends. It will not surprise you to see that non-accruals are dominated by loans secured by residential real estate. Residential mortgages and home equity lines represent 54% of non-accruals. If we include residential construction the non-accruals related to residential real estate are 75% of total non-accruals. We expect to see continued increases in this segment over the near term. Construction non-accruals have been increasing over the past several quarters and currently total just over $1 billion. As I noted earlier we have specific reserves on a loan by loan basis for a majority of the dollar volume of these non-accruals. Please turn to slide 18 for a review of the residential real estate portfolio. Overall non-accruals and delinquencies are up across most segments in the mortgage portfolio. Within the highest risk segment Alt-A balances continue to run off and non-accruals declined versus last quarter. While the 60 plus delinquency ratios are up the primary driver for the increasing ratios is lower portfolio balances. We actually like that trade off. However, notable in the quarter is the increase in delinquencies and non-accruals in the core portfolio which increased 33 basis points and $162 million respectively. We believe this increase reflects the overall weakening of our consumer credit as we have noted no particular pattern or similarity among the merging delinquent loans. While this ARM portfolio continues to perform favorable compared to external indices for prime ARM portfolios risk in this segment is rising. The prime’s second portfolio which is also referred to Combo seconds or piggy backs is just under $4 billion and is insured. Given rising delinquencies and non-accruals in this portfolio I will update you on the insurance. There are a number of discrete pools of insuring loans within this portfolio. In all of them insurance covers cumulative losses of up to 5%. SunTrust bears any pool cumulative losses exceeding 5% and up to 8%. Insurance applies again to cumulative losses of up to 10%. A few of the pools are exhibiting behavior suggesting that the 5% attachment could possibly be reached during 2009. For these insured loans we will establish loss reserves when we believe losses at this level have been incurred. Given current trends it is possible that forecasts prepared in the next quarter or two may show losses above the 5% on some of these pools. The bottom line is that in the unlikely event that all the pools at the attachment point which we do not expect are expected incremental loss exposure would be less than $120 million. Unless total losses exceed the 10% cumulative insurance gap which we also not expect. The last note on this slide is to remind that there is no sub-prime, option ARM or other negative amortizing loan products in our portfolio. Next I’ll update you on losses recognized and loss severity in the mortgage portfolio on slide 19. Non-accrual balances increased versus last quarter and two third of total balances have been written down to realizable market value. As a reminder write downs are based upon updated collateral valuations at 180 days past due and only loans which are well secured relative to realizable value or have private mortgage insurance do not require write down. Generally the write downs reduce loan balances to 85% of current estimated disposition value. Our experience to date is ultimate disposition values are within a few percentage points of these values. Loss severities are also illustrated on this slide by subset and they remain at levels consistent with our expectations given original loan to values and declining market prices for real estate. Loss severities have not increased meaningfully since last quarter. The last point on this slide is that $444 million of non-accruals have not yet been written down. This will be the primary pool of mortgages which will have write downs during the fourth quarter. The balance is up from the second quarter and while most of the increases in the core portfolio with lower loss the increased balance suggests charge offs in the fourth quarter will be consistent with the third quarter. Moving to slide 20 and the home equity line of credit portfolios, home equity line of credit non-accruals and charge offs increased from the seasonally low second quarter levels as we had anticipated. This portfolio is performing poorly with overall charge offs approaching 3% annualized in the quarter. Each quarter we have provided a breakdown of the portfolio showing a stack ranking of performance from worst to best, to give you perspective on the source and level of risk. Two thirds of the portfolio is in the bottom row. This portfolio segment is branch originated and low loan to value but is showing some weakness as annualized charge offs in the third quarter were 1.5%. You will note that portfolio balances have increased quarter over quarter. This growth is in the lowest risk segment and results from a lack of typical payoff, pay down attrition and normal line utilization on lines originated in late 2000 and 2008 under substantially more conservative underwriting guidelines. The last portfolio I’m going to cover today is construction which begins on slide 21. Charge offs and NPLs have increased while balances and 30 plus delinquencies are down. Overall construction balances declined by 8% versus last quarter with the most notable decline of 21% in construction deferment. Also significant was a 10% decline in SunTrust originated construction loans. However that reduction was partially offset by a 6% increase created by the inclusion of GB&T loans leading to a net 4% decline in this segment. All in all construction loans declined by $1 billion quarter to quarter. Commercial purpose construction portfolio represents roughly one third of the total construction book and continues to perform well. Please turn to slide 22 for a wrap up on our higher risk portfolio segments and mitigating actions. The subset of portfolios under significant stress comprises just 12% of our total loan book. We’ve been taking aggressive actions to mitigate the risk. In residential mortgages we eliminated Alt-A portfolio lending in mid 2006. We have significantly tightened underwriting guidelines across all of our products and have augmented our default management capabilities with people, enhanced processes and tools. On home equity lines we have eliminated origination of home equity product through third party channels, eliminated all loans greater than 85% loan to value, originated from all channels, implemented market specific loan to value guidelines in declining markets and then aggressively reducing line commitments in higher risk situations. We began tightening in late 2006 in residential construction, as a result balances and exposures are down considerably particularly in Florida and Atlanta. While NPLs and charge offs have risen and will increase from here the ultimate realization of risk will be much less than it otherwise could have been. Slide 23 contains a brief summary of key take aways from today’s credit discussion. Credit deterioration was consistent with market conditions and our expectations during the third quarter. Early stage delinquencies remain stable. The commercial and commercial real estate portfolios continue to perform reasonably well. The majority of non-accruals continued to be residential mortgages and we have written two thirds down to expected recoverable values. Credit issues remain largely confined to residential real estate segments of the portfolio and we continue to be aggressively managing this risk. I’ll conclude my remarks with an outlook for charge offs. The current internal forecast shows net charge offs in the fourth quarter up approximately 20% driven by continued weakness in the consumer sectors. With that I’ll turn it over to Steve.
Steve Shriner: We’ve covered a lot today so before we take some questions I’ll quickly summarize key messages from the presentation that are included on slide 24. Tier 1 regulatory capital improved significantly 8.15%. We continue to have stable core deposit centric funding and a strong liquidity position. We have begun to see commercial loan growth and a recent up trend in deposits. Overall earnings are being negatively impacted by the underlying economic environment and credit. Asset quality deteriorated in line with expectations during the third quarter. As Tom just said our current credit outlook is for further deterioration in the near term with fourth quarter charge offs up approximately 20% from third quarter levels. Our Board has provided authorization to apply for a preferred stock sale under the TARP program. We are evaluating our overall capital structure and we’ll provide additional external communications as promptly as we can. Thank you very much for listening this morning. Operator we’re now ready to take some questions.
Operator: (Operator Instructions) Your first question comes from Brian Foran – Goldman Sachs.
Brian Foran – Goldman Sachs: Early stage delinquencies have been flat at 1.5% in each of the past four quarters but NPAs are growing and the dollar volume of that growth is steadily increasing. I understand flow rates mathematically but conceptually what’s the disconnect between the early stage delinquency and NPA trends right now?
Tom Freeman: The disconnect is fairly simple is our ability to gain control of the properties which have gone to delinquencies and charge off is really impacted by a slow down in our ability to foreclose on the properties. If we had normal flows and normal time frames that would be matching up much better and we’d be able to break down the inventory of what would then be owned real estate properties short of bulk selling notes which we think is not an economic option for the company we’ve got to fight this through the courts. We’re starting to pick up some velocity around that and it’s in some of our jurisdictions taking as long as 18 to 24 months to begin to get our hands on the properties. That’s really what the backup is.
Brian Foran – Goldman Sachs: That would be Florida specifically?
Tom Freeman: We have several states within the jurisdictions that we work with which are judicial foreclosure states. Those have been painfully slow.
Brian Foran – Goldman Sachs: It sounded from the comments like you’re more open to cutting the dividend. I just want to make sure that’s the right interpretation. Its been somewhat surprising that there haven’t been more dividend cuts across the industry is there any focus or pressure from the regulators for the industry to rationalize dividends to hunker down for a more difficult environment.
Mark Chancy: As we mentioned we are very pleased with our current regulatory capital position as well as our tangible equity to asset position. We are, because of the economic and credit environment as we move into 2009 thoroughly evaluating our capital structure in connection with that deterioration. We’re also authorized as we indicated this morning by our Board to evaluate the par capital program and we’re in the midst of that evaluation. Our overall capital structure will include the review of each of our current position, our dividend policy and the TARP program and when that evaluation is complete we’ll be back and communicate any results to the marketplace as promptly as possible. As far as any specific guidance by the regulators I really have no comment on that and can’t speculate about how they might be communicating with others within the industry.
Brian Foran – Goldman Sachs: The cumulative mark to market on the debt is now over $600 million. Is there any opportunity to actually buy some of this debt to lock in that gain and prevent a situation where that reverts over time?
Mark Chancy: Yes, that is one of the options that we’ve actually acted upon during the course of 2008 and it is one of the options that is available to us and we’re continuing to evaluate it. As you know it does not affect capital, is non-cash and is a reflection of the very volatile financial markets that we’re operating in. We’re real clear and transparent about the fact that that is a non-core gain that’s reflected in our earnings. That’s not something that we’re trying to incorporate as a core part of the company’s earnings. We do expect that it will reverse itself over time. SunTrust debt will revert as we mature back to the original spreads when it was issued and so that’s clearly an event over the next seven years but to your point there may be opportunities for us to pursue additional purchases of that debt and we’ll continue to evaluate it as we move forward.
Operator: Your next question comes from Ed Najarian - Merrill Lynch.
Ed Najarian - Merrill Lynch: You talked about accessing the TARP in terms of additional preferred equity. Could you give us some context on to the extent that you do add preferred equity issued to the Treasury that that would be essentially sit on the balance sheet and you would enhance your Tier 1 capital ratio and keep it at an elevated level or is there some opportunity to lever that or deploy it so that your Tier 1 ratio would stay in that 8% to 8.5% range and we could expect therefore some incremental earnings to come from that extra equity.
Mark Chancy: Certainly if we were to actually pursue and issue the preferred stock we would be looking to deploy that in an appropriate manner as we move forward both through organic growth through potential purchases of different assets as well as pursuing acquisitions to the extent that they were accretive and strategically appropriate for SunTrust to pursue. We have a wide variety of methods that we could deploy that capital if management and the Board decided that was the appropriate course based on the terms and conditions that are still being evaluated by us and others across the marketplace. I would clearly expect for us to deploy that capital across each of the different mechanisms that I just outlined if the company were actually to issue the preferred stock.
Ed Najarian - Merrill Lynch: We should not think about you going to say something around a 10% Tier 1 capital ratio and keeping it there for a while.
Mark Chancy: If we were to issue the immediate impact would be, depending upon the dollar amount that we issued at a significant increase in our Tier 1 capital level. What I’m indicating is you shouldn’t expect for it to remain at that level over the long term because we wouldn’t take the capital down if we didn’t intend to deploy it. We are pleased, as we mentioned with our current capital position. We do not have, as Jim mentioned a deep need for incremental capital. We think that the program is an appropriate program for the industry and it provides strong institutions like SunTrust the ability to raise capital on a very cost effective basis and so we’re thoroughly evaluating it as you might expect.
Ed Najarian - Merrill Lynch: I’m looking at your trading account profits of a positive $121 million. I think when I make all the adjustments I start with $121 million, I back out the $341 million on mark to market debt, I add back $173 million on the auction rate securities and I add back $137 million on the trade…
Mark Chancy: Why don’t you just give Steve a call and he’ll walk you through those details.
Ed Najarian - Merrill Lynch: I’m coming to a $90 million trading number on a net basis is that approximately accurate and if so what drove higher trading revenue this quarter.
Steve Shriner: I can work you through the details but the bottom line is that trading line contains core business revenue derived primarily through our SunTrust Robinson Humphrey Investment Banking business. There’s a lot of core client revenue that runs through there including fixed interest rate risk management derivatives and other products but I’m happy to go in more detail on that later. That’s a high level answer.
Operator: Your next question comes from Mike Mayo – Deutsche Bank.
Mike Mayo – Deutsche Bank: On expenses you’re controlling what you can control but expenses were up a little bit, $149 million third quarter savings from E² and so annualized you’re at the $600 million run rate which is your ’09 target?
Mark Chancy: Yes, that was the number that we realized. We mentioned that we’re not anticipating any additional increase in the fourth quarter so we’re on track for about $540 million or so during the course of 2008 and it gives us confidence as you mentioned that we should be able to meet or hopefully exceed the $600 million target that we set a couple of years ago. As you might expect in today’s environment our evaluation has not stopped. The environment has only poised us to do further evaluation of ways that we can become more cost effective in the way we operate our business and you can be assured that we’re continuing those efforts but we have no new information at this point to communicate.
Mike Mayo – Deutsche Bank: At this point we shouldn’t assume any additional savings from E² from your current run rate but you’re working on perhaps new plans.
Mark Chancy: Yes, correct we have ongoing initiatives that we’ve outlined in the past related to our supplier management as an example. Those efforts are continuing and to extent that we have new information for you as we move into 2009 we’ll provide it.
Mike Mayo – Deutsche Bank: On credit quality, it looks like 12% of the portfolio is what you guys term distressed and that’s most of your charge offs. I want to focus on the rest of the portfolio specifically commercial. I think you mentioned small business I guess that got worse but still in a decent range. What else are you seeing in commercial between retailers and I guess even some restaurants are going chapter 11. What’s moving up on your watch list?
Tom Freeman: What we’re seeing is our concerns are quite honestly right now are publishing which is showing some real signs of softness and continued fallout in the small business segment. We don’t have substantial retail exposures especially on a small granular level. Quite honestly other than the publishing part of the portfolio and one episodic incident in the energy book the rest of the portfolio is holding up fairly well.
Mike Mayo – Deutsche Bank: What do you mean by publishing?
Tom Freeman: Newspapers.
Mike Mayo – Deutsche Bank: I just haven’t noticed any failing around, that I’ve noticed.
Tom Freeman: We have.
Mike Mayo – Deutsche Bank: That’s in the increase in commercial this quarter?
Tom Freeman: Yes sir.
Operator: Your next question comes from Betsy Graseck – Morgan Stanley.
Betsy Graseck – Morgan Stanley: A couple questions on the credit side, one is on the reserving methodology I know you have a little bit of a different approach towards the reserving compared to peers and I think it has to do with how you estimate the recoverable value of the NPAs. Could you just refresh on how you are, interesting the expected recoverable value on the residential mortgages, where your inputs are coming from and how they have changed over the past quarter?
Tom Freeman: I don’t believe our approach is different than what industry standard is. In fact we’re very careful to make sure our estimates are consistent with all of the GAAP guidance around documentation and estimation of current losses realizable, expected within the existing portfolio. That being said, I think you’re asking a slightly different question which is as we begin to get people into the collection queue for residential mortgages what do we do to estimate values upon ultimate recovery upon sale of the non-performing assets and I think that’s the question is that correct?
Betsy Graseck – Morgan Stanley: Sure.
Tom Freeman: What we do is at 120 days as is required by GAAP and FFIEC we put the loans on non-performing, non-accrual. We then commission appraisals and valuations of the individual properties, on a property by property basis. Then when we get the value in we take a haircut off of that by, it depends upon specific markets, about 15% overall. That becomes our carrying value for the underlying assets. Upon sale of the assets, and as we accumulate all of the performance around sale of the assets we re-estimate whether or not our haircut and valuation methodology was appropriate to make sure we’re recognizing the loss flows as they ought to be so we have a check and balance around that to make sure that our estimation process falls within a reasonable range and that we’re pretty tight on the estimate of losses.
Betsy Graseck – Morgan Stanley: How has the loss come in relative to what you had been estimating?
Tom Freeman: As we continue to a rolling evaluation we’ve seen softening of values. We’ve seen a lot of softening of values in the Florida market and we continue to make sure that on a daily, weekly and monthly basis that those estimates are current value estimates. We continue to see softness especially in Florida but we’re seeing softness around some of the other markets.
Mark Chancy: One of the reasons why we provide this slide that we do in the presentation deck is as Tom mentioned when we get to 180 days we go ahead and incur a charge off against those non-performing loans even if they haven’t been disposed of because of the process. We note in that slide the level of non-performers that have already incurred a charge off and have been written down to what we expect to be realizable value based on current value estimates and that’s about two thirds of the non-performers that relate to that mortgage segment.
Betsy Graseck – Morgan Stanley: As housing values continue to fall here we should anticipate that the reserving should move up to reflect that is that correct?
Tom Freeman: The charge offs will continue to move up and then we’ll make sure, the reserving question we’re talking about charge offs not reserve. In the reserve process you also have to take a look at the mix and if you take a look at where we’ve taken a majority of the charge offs those were in closed in pools and those loopholes continue to shrink. As we evaluate any other emerging problems you’ll have a separate set of evaluations.
Betsy Graseck – Morgan Stanley: A separate question on more the commercial side but given the foreign exchange volatility how are you assessing risks that you might have in your own commercial book?
Mark Chancy: Could you repeat your question?
Betsy Graseck – Morgan Stanley: On the commercial side there is some emerging stress in foreign exchange markets and I know while you don’t have much of an exposure outside the US I’m sure you deal with corporates who have exposure to foreign exchange revenue flows or may engage with you in foreign exchange hedging. I just wanted to understand what you may or may not be seeing in the commercial book in terms of new stresses relative to the foreign exchange volatility that’s been increasing here over the past several weeks.
Mark Chancy: We have very minor exposure to foreign exchange swaps and trades it’s not a big number for us. As with any of our clients which are multi-jurisdictional and where you have multi-currency we do regular reviews, we do regular credit evaluations and we include into that the exposure specifically to foreign markets and in fact one of the things we’ve been paying a lot of attention to lately in our larger corporate clients has been the strengthening of the dollar and how that’s affecting their income flows in future periods.
Operator: Your next question comes from Greg Ketron – Citigroup.
Greg Ketron – Citigroup: On non-performing assets management you’re sitting on a portfolio of about $3.6 billion, I know you had mentioned that you felt that securing values in certain parts of the portfolio would be reflective of where you thought you could liquidate it. You’ve had a peer comment, during the quarter they sold about $430 million of non-performers during the quarter took about a 50% haircut related to where they were carrying it. In terms of color going forward how, maybe more focused on the construction segment how do you intend, or strategize around peering the size of that portfolio down as you move out into the future?
Tom Freeman: You’ve got to remember that we started on the construction portfolio in ’06 and really have been restructuring, attacking the portfolio and if you take a look at it that portfolio is falling by about $1 billion a quarter. The construction portfolio I think we’ve got specific plans on, we have evaluations in terms of any of the ones which are troublesome we have a specific reserve process and quite honestly we’re doing restructures where appropriate, foreclosures where appropriate and dispositions. It is the most aggressive thing that we have been working through in terms of making sure that that portfolio continues to right size in looking forward at what kind of the economic activity is going to be. I think that portfolio when you look at our construction firms and our commercial construction activity will continue to downsize aggressively over the next couple of quarters.
Greg Ketron – Citigroup: Taking a counter view here on the dividend and Mark probably more addressed to you. In terms of looking at the holding company you’ve got over $2 billion of cash and cash equivalents. The quarterly upstream from the banks about $330 million in dividends, you guys are earning right at that maybe slightly less but with TARP the potential of injecting $1 to almost $4 billion of cash into the holding company I know you’re working through this and its tough for you to comment on right now. Is it plausible or maybe you can add some color in how you would think about is it plausible that you keep the dividend at the current level because of the cash level you have at the holding company or potentially could have?
Mark Chancy: Obviously we are evaluating all of the aspects that go into managing holding company liquidity, the dividend, and our overall capital structure and taking both our own information, the changes in the economic and credit landscape as well as the potential to access the Government program into consideration. As we work through that it’s something that has continued to move as you know with new information coming out on the Government programs on a daily basis and so we’re doing a careful evaluation as you would expect us to and we’re going to respond promptly as it relates to all the capital structure related items as soon as it makes sense to both us and our Board.
Operator: Your last question comes from Jefferson Harralson – KBW.
Jefferson Harralson - KBW: I’m looking at page 21 this might be similar to Greg’s question. If you have, let’s call it 9% total NPAs in the construction portfolio or 14% NPLs of that middle part, the residential construction portfolio and we sort of live in a seemingly 50% on the dollar world. Help square that against the charge offs that seem to be running at less than 2%, it’s a way of asking of this $1.40 billion it seems like there would be a lot of loss content in that outside looking in maybe I’m missing something I wanted to ask you about how those two numbers square.
Tom Freeman: If you take a look at the commercial part of the portfolio you’ve got to understand what the process is. Some of the losses will be realized upon recognition of events. We have made reserves which we believe are fully adequate to cover those losses but those losses are coming in future quarters.
Jefferson Harralson - KBW: Did I miss it or how much is reserved against the $1.40 billion?
Tom Freeman: What I can tell you is about 65% of the portfolio is covered by specific reserves.
Steve Shriner: Thank you everybody for attending this morning.
Operator: This concludes today’s conference thank you for participating you may disconnect at this time.